Operator: (Operator Instructions) Welcome to D&B’s 2009 Fourth Quarter Teleconference. I’d now like to turn the call over to Ms. Kathy Guinnessey - Leader, Treasury, and Investor Relations.
Kathy Guinnessey: In a moment you will hear commentary on our 2009 performance as well as on our outlook for 2010 and our strategic technology investment from Sara Mathew our President and Chief Executive Officer, and Tasos Konidaris our Chief Financial Officer. To help our analysts and investors understand how we view the business, our remarks this morning will include forward looking statements. Our Form 10-K and 10-Q filings as well as the earnings release we issued yesterday highlight a number of important Risk Factors that could cause our actual results to differ from these forward looking statements. These documents are available on the investor relation section of our website and we encourage you to review this material. We undertake no obligation to update any forward looking statements. During our call today, we will be discussing a number of non-GAAP financial measures as that’s how we manage the business. For example, when we discuss revenue growth, we will be referring to the non-GAAP measure, core revenue growth before the effect of foreign exchange, unless otherwise noted. When we discuss operating income, operating margin, and EPS, these will be on a non-GAAP basis, before our non-core gains and charges, and one time items. A reconciliation between these and the other non-GAAP financial measures and the most directly comparable GAAP measure can be found on the schedules to our earnings release. They can also be found in the supplemental reconciliation schedule that we post on the investor relations section of our website. Later today you will also find a transcript of this call on our investor relations site. With that I’ll now turn the call over to Sara Mathew.
Sara Mathew: Here’s what we plan to cover on the call this morning. First, I will briefly discuss our 2009 results and the implications for 2010. Next I’ll provide an overview of the strategic agenda for D&B and the related investments. Then Tasos will cover details of our 2009 performance. Finally, I’ll walk you through our guidance for 2010. Before I start, I would like to share a few key perspectives as the new CEO of D&B. Many of you may know that I joined D&B over eight years ago as the CFO. Since then I’ve had a series of positions and beginning in 2005 expanded my responsibilities to include the operating side of the business. I have directly led the US, International, and more recently the technology, data and product development organizations. As a result, I’ve had a chance to lead many of our key functions and I understand the sources of competitive advantage as well as the areas of future opportunities for D&B. As I take the helm of CEO I am convinced that we have numerous opportunities before us. Opportunities to further transform our customer value proposition and significantly enhance shareholder value. I am energized and enthused about leading D&B at this important juncture and I am confident in the direction we are taking. With that, let me begin with a brief review of our 2009 performance and its implications for 2010. In sum, we are pleased with our fourth quarter and full year financial performance which was very much in line with our revised guidance for 2009. After a truly extraordinary year of economic weakness and a crisis of confidence in the US, we believe that the environment has started to stabilize and we can see it in our underlying trends. For 2009 revenue grew 1%, operating income was down 2%, EPS grew 3% and we generated almost $300 million of free cash flow. It is clear our international business is performing extremely well with revenue up 23% for the year and margins up about 190 basis points. The primary reason for our strong performance in international has been our focus on the customers, investments in data quality, and acquisitions in high growth markets like Asia. The growth in 2009 came from both our existing markets where organic revenue grew 9% as well as 14 points from strategic acquisitions in India, China, and the UK. Our investments in data quality have been an important driver of the strong organic growth we experienced in 2009. As the single source for globally consistent and timely data, we were able to successfully weather the weak economy, leveraging data as the basis for differentiation versus our competition. With a cross border of customer focus, continued investments to improve data quality and exposure to the high growth markets in Asia, international is expected to deliver revenue growth in the mid-teens in 2010. Turning to North America, revenue was down 4% for the year. While these results were in line with our expectations, we believe we can do better. Stepping back, it is clear that the economy has a significant impact on our North American business, with a sharp decline in commercial and industrial loans, demand for our products and services has been weak, with small business customers disproportionately impacted by the slowdown. To respond to the weakness we, like many other companies, focused our efforts on improving efficiency and driving better execution. More specifically, we concentrated on two key areas, customer retention and our go to market strategy. Regarding retention I am pleased to report that in the medium to large customer space, our primary area of focus, retention improved slightly. That said and as expected, budgetary pressures limited our ability to up-sell and cross-sell to these customers. Regarding our go to market efforts, we successfully reengineered our customer facing organizations late last year to better target new customers and complement our revenue stream from renewals. Our teams have successfully navigated a tremendous amount of change in the fourth quarter and I am proud of the leadership they exhibited over the past year. While our North America business mostly struggled for most of 2009 due to the weak economy, we did see signs of recovery in the fourth quarter and that trend has continued in January. We believe the worst is behind us. More specifically our up front customer commitments showed improvement after three consecutive quarters of significant declines. We are encouraged by these results. Looking ahead, the lower demand from 2009 will impact our 2010 results and as such revenue will remain weak through the first half of the year. We expect a gradual recovery as 2010 unfolds and we should exit the year on a much better trajectory. In summary, we expect 2010 North American revenue to be slightly better than 2009 but still down versus the prior year. Our total company 2009 earnings and free cash flow were also in line with expectations. Operating income declined 2% due to the lower revenue in North America and our decision to continue investing in the business despite the economic pressure. We executed an aggressive reengineering program to offset some of these investments and ended the year with margins up 10 basis points versus the prior year. Finally, we delivered healthy free cash flow of almost $300 million, a testament to our very strong business model even in these troubled times. Tasos will provide additional details about 2009 in a few minutes but let me turn to the second item on this call, our strategic agenda and the investments for long term growth. As context, my team and I conducted an in depth review of our company and the critical factors that will share our future success. We studied external factors including market trends, shifts in data and technology, as well as recent competitive activity and tactics. We assessed our portfolio of products, services, and underlying capabilities and gathered input from several external advisors. And our retention efforts in 2009 yielded important insights into the evolving needs of our customer base. All of the above helped us explore options to better position ourselves for success in 2010 and beyond. This review reaffirmed the strength of our international business. We have the core capabilities, a very attractive business model, and the right level of leadership so we are well positioned to continue our trajectory of double digit growth. The focus of our efforts was North America where I am not satisfied with our performance. An in depth review of our North American business helped us generate important insight into what’s working and what can be better and provided critical input into our strategic planning process. There are three important take aways from this process that I’d like to share with you today. First, our choice to focus on commercial insight is unchanged. This means we will stay close to the core. We have numerous opportunities to better leverage our asset in the space where we are already the undisputed market leader. Second, our fundamental competitive advantage in the marketplace, that is data quality, is also unchanged. While we have made important strides in improving data quality through better coverage over the past several years, we can go much further, leveraging recent advances in technology to bring new value to our customers. Third, we need a better set of products and services to leverage these data assets more fully. In other words, we need a technology platform that is scalable and agile so we can meet emerging customer demands faster and at much lower costs. Our North American business review confirmed that our current infrastructure can be improved. It has impeded our ability to meet emerging customer needs at a time when customers are demanding an increased space of innovation to cope with the softer economy. Our intention is to develop these capabilities and fix this issue systemically. There are three key components to implementing these new capabilities: Simplifying and re-architecting the data supply chain. Creating a services layer to optimize access to D&B. Consolidating our legacy products to provide fewer and more impactful applications for our customers. Let me discuss each of these components in more detail. First, regarding the data supply chain, we have already initiated the first phase of this effort in 2009 with the decision to move our data center to Axiom. We expect the migration to be completed by mid-year. Once complete we will create a new data supply chain leveraging outside vendors who have state of the art technology. The inherent advantage of this approach will be our ability to gain access to emerging technologies at much greater scale and at a significantly lower cost. Second, we create a new service layer to ensure a common set of services so our customers can easily access D&B’s information. This will enable our customers to integrate D&B data with third party information and significantly enhance the speed at which we can build new applications. Most importantly, this will create the infrastructure we need to drive ongoing innovation to meet new customer needs. Finally, we will rationalize our legacy product and further enhance our flagship brands. The consolidation of our product portfolio to fewer and more impactful applications will drive significant cost savings for D&B. And new applications will allow us to target unmet needs in the market so we drive better experience for our customers and higher revenue for D&B. This initiative will deliver four compelling benefits for us and for our customers. First, improved data quality through intra day updates to the database versus the current multi-week cycle. Second, ten times more processing capacity, in other words, we can add new sources of data at a dramatically lower cost. Third, faster innovation, getting to market twice as fast with new products and solutions. Finally, a $35 to $50 million cost savings across data and technology due a vastly simplified infrastructure. Customers should be able to make better decisions as our data will be more timely and complete. The new service layer and application consolidation will ensure we can innovate faster to drive future growth. More specifically, customers will have a seamless integration of higher quality real time data into a range of work flows from mobile solutions, social networks, and text alerts, trends that are influencing customer expectations of D&B and where it has been costly and time consuming for us to respond. Net, this is a win, win proposition for D&B and our customers. To execute this strategy we intend to invest approximately $110 to $130 million over about two years to build a new data supply chain and update our technology infrastructure. This investment will help accelerate revenue growth in North America and we expect to be back to historic growth rates of mid to upper single digits in 2012. Profitability will also accelerate as we benefit from a more efficient technology infrastructure. Our early thinking is that margins in 2012 should be at least 100 basis points higher than 2009. The total investment we expect approximately $45 to $55 million to be spent in 2010 with a slight ramp up in the second year of the project. We expect approximately 60% of the costs to run through the P&L as a non-core item as we will leverage external vendors who have competence in this space. The remaining 40% will be in the form of capital expenditures. Let me address three questions regarding this investment that may be on your mind: Why are we making this investment now? Why are we confident we will get the results we are looking for? When will we see the benefit from this project? Let me first address why now. As I said earlier, my leadership team and I have spent significant time thinking through various growth strategies for D&B. Each time we came back to our core, the quality and comprehensiveness of our data and the need for better innovation, which is the reason why customers choose D&B. With this decision behind us we explored alternate investment scenarios, a slower pace of investment, timing of alternatives, and we also modeled an option to maintain the status quo given the current economic environment. We came away convinced that we should be proactive and make this investment now. We have a stable and healthy business with very strong free cash flow. Our customer needs are evolving and our competitors have been slow to respond. While we are clearly the market leader in the commercial data space, we have a unique opportunity to further distance ourselves from current and future competition. This we believe is the optimal path for maximizing shareholder value. Let me move to the second question about why we are confident that we can deliver the results we expect. You should know we are close to completing a similar initiative in international. More specifically, we’ve invested approximately $35 million to reengineer our European data supply chain and supporting technology over the past three years. The objective was to get to real time data for our customers and also ensure we had a seamless interface with our partners in the region. This investment has clearly paid off. Our international database has more than doubled allowing us to easily add new information from our partners in Russia, India, etc. and we concurrently lowered our technology costs by 20%. This has improved data quality in international and is the key driver of our cross border revenue growth. Finally, regarding the timeframe by which we will start to see the benefits of this project, my preliminary thinking is that we could see some benefit as early as the middle of 2011. That said, we are still in the early stages of this project and should have these details ironed out over the next few months. In summary, this is an important investment in our future, on that’ll set us apart from competition and pave the way for accelerated growth and healthy margin expansion in North America. With that let me turn the call over to Tasos to discuss the third item on our agenda, the performance of our base business in 2009 and its impact on 2010.
Tasos Konidaris: As Sara said earlier both our fourth quarter and full year 2009 performance were in line with our expectations in both international and North America. Let me start with North America where revenue declined 6% in the fourth quarter and 4% for the full year. Risk management solutions declined 4% in the fourth quarter a greater grade of decline than prior quarters but in line with our expectations. Since 64% of our RMS revenue is subscription based we are now experiencing the full effect of the lower up front demand from earlier in 2009. In the non-subscription portion of our RMS business our transactional product declines have stabilized but usage is still at much lower levels than 2008. We expect to see this part of our business improve when the level of our customer’s new business activity increases as the economy improves. D&BI continued to perform well and accounts for 56% of our RMS revenue compared with 45% at the end of 2008. We continue to see high single digit price lifts when existing customers renew their D&BI contracts and double digit price lifts when customers convert to D&BI. With more than half of our RMS revenue already in D&BI we have a smaller base available for conversion and as a result we expect D&BI penetration rate to be in the low 60% range at the end of 2010. With our established customers we expect to continue to get revenue lifts in D&BI renewals as we benefit from the investments we made in 2009 to improve the customer value proposition with the launch of D&BI premium. Looking ahead, we are focused on acquiring new customers. We see the potential to grow in the small to medium business space and the changes we made to our go to market organization will help us pursue this on tap opportunity. To summarize RMS, we expect to continue to feel the impact of lower 2009 up front demand for our subscription products in our revenue results in the first half of 2010. Specifically, we expect the RMS rate of decline to get slightly worse in the first quarter than it was in the fourth, before gradually improving over the rest of the year as our new customer initiatives gain traction. Let me now move to sales and marketing where revenue was down 9% in the fourth quarter. As we discussed in our last earnings call, the fourth quarter was seasonally large for us in MS due to the large amount of year end project work and our results were in line with our expectations. While we saw improvement in some areas such as financial institutions, we have yet to see a return to normal spending levels in sales and marketing. As a reminder, S&MS has been hit hard by the weak economy as customers have deferred or cancelled marketing programs. In 2009 we focused our efforts on retaining large and mid-sized customers so that we would benefit when their spending increased as the economy improved. We also worked with them to reduce the scope of various project to meet their budget constraints. This strategy has worked and retention rates improved slightly in the fourth quarter so we believe the worst is behind us. Within S&MS we continued to see high attrition rates in our traditional laced and labels business. This attrition is largely driven by the secular trend of customers shift their direct mail campaign activities to digital marketing to reduce costs and better target prospects. To meet this emerging customer needs for digital solutions we include last year D&B professional contacts. With this product our customers now have access to email addresses for nine million professional contacts to help efficiently drive their digital marketing campaigns. While the product is still new, the early customer response is positive and we expect greater traction in 2010. As we move through 2010 we expect to see sequential improvement in S&MS revenue as the economy gradually improves with modest growth in the back half. Finally, the internet, our smallest solution set was down 10% in the fourth quarter also in line with our expectations. As a reminder, a high percentage of our internet customers are small businesses which have been disproportionately affected by the weak economy. In addition, as this is a subscription business the results reflect our weak up front demand earlier in 2009. As a result, we expect the strength to continue to be weak in the first half of 2010 before stabilizing in the second half of the year. In summary, as we look ahead at 2010 we expect a first quarter revenue decline for North America to be similar to our fourth quarter 2009 and then see a gradual improvement in trends over the course of the year as result of: Improving up front customer commitment trends. Greater new customer acquisition due to our new go to market strategy. The benefits of our product investments we made in 2009. Let me now address our international performance. Our international business is performing extremely well with 2009 revenue up 23% for the year and with a very strong 26% growth in the fourth quarter. For the full year, organic revenue was up 9% and acquisitions contributed 14 points of growth. In 2009 we benefited from our exposure to high growth markets such as China and India. In addition, our investments in data both organically and through our partners are clearly paying off and we have a strong pipeline of new initiatives but we have yet to bring to the market. Thus far our strong growth across international segment has largely come from selling traditional RMS solutions. RMS represents about 70% of our international revenue and most of that is in our traditional products. Looking ahead, we continue to see plenty of room for growth as we continue to drive our cross border focus and bring more of our value added products in both risk and S&MS to our international customers. As such, we expect international revenue growth in the mid-teens through 2010. Let me now turn to total company profitability. Our company operating income declined 2% in 2009 which was in line with expectations. The decline reflected our top line results and our decision to continue to invest in the business despite the weak economy. In addition, we had one point of negative impact from foreign exchange. Our robust reengineering plan in 2009 and tight expense controls helped offset some of the profit pressure we experienced due to our top line results and helped increase margins by 10 basis points. Looking ahead, we will continue our financial flexibility program and in 2010 expect to generate $75 to $80 million of additional flexibility. We expect to incur non-core charges of approximately $15 to $20 million and transition costs in the range of $7 to $12 million. Moving to free cash flow, in 2009 we generated $296 million and we feel good about this result given the difficult economy. We also continue to be very capital efficient. Capital expenditures were approximately 4% of revenue in 2009 and we expect it to be approximately 5% of revenue in 2010 including our technology investment. This solid free cash flow generation allowed us to return $222 million of cash to shareholders in 2009 through dividends and share buybacks. For the full year, we paid dividends totaling $72 million and repurchased $150 million of stock under our discretionary share repurchase program. We ended the year with $223 million of cash and cross debt of $964 million. As we look ahead, we’re comfortable with our current level of debt and we’re targeting ending 2010 with approximately the same level of debt as we have today. I would now like to turn the call back to Sara.
Sara Mathew: To summarize, our 2009 results were in line with expectations and we believe the worst is now behind us. We expect a gradual improvement over the course of 2010 as commercial activity, a key driver of our business, recovers. We are making an important strategic investment that will transform our company and return North America to its historical levels of growth. I remain confident in the direction we are taking. Let me now walk you through our outlook which provides the basis for our guidance in 2010. Regarding revenue, North America will have a difficult first half of the year as the weak demand from 2009 impacts our results. We expect a gradual improvement as the year progresses. We expect our international business to continue its trajectory of double digit growth. As a result, our total company revenue guidance is 1% to 3% growth for 2010. Moving to operating income, we will report our results and provide guidance on our core business separately and report the strategic technology investment as a one time non-core item. We believe this will help investors better understand the performance of our underlying business. As such, beginning with the first quarter 2010 we will include a new schedule to our press release that will detail the impact of this non-core item on earnings and capital expenditures. Our operating income for the year reflects continued investment in the base business and approximately two points of negative impact from the compensation related changes for our team members. As a reminder, we made several changes to our compensation plans in 2009 as the economic conditions deteriorated including suspension of merit increases and reducing the 401(k) match. In 2010 we are reinstating merit increases and increasing the 401(k) match. We believe this decision represents an important investment in our team members whose commitment and passion to win are critical to D&B’s future success. As a result, we expect operating income for 2010 to be in the range of down 2% to up 2% for 2010 before the affect of restructuring and the one time technology investment. Earnings per share growth is expected to be between 1% and 6% once again before the impact of restructuring charges and one time items. Finally, we continue to expect strong free cash flow between $240 and $270 million in 2010. As in the past our free cash flow guidance includes all cash payments for one time items including the $45 to $55 million of anticipated data and technology investments and approximately $25 million from our ongoing financial flexibility actions. In 2010 we expect to continue to return excess cash to shareholders. We have increased our dividend from $0.34 to $0.35 and we expect share repurchases under our discretionary program to be up $250 million. In closing, I want to reiterate that I feel privileged to lead this company at this important juncture. We have a very healthy international business and I feel a deep sense of personal responsibility to return the North American business with historic growth trajectory. We’re making the strategic investments that will transform our customer value proposition and as I said earlier, we expect to begin to benefit from this investment in 2011 with the full impact in 2012. At that point we expect North American revenue to return to historic levels of growth and total company margins to be at least 100 basis points above 2009 levels. I would also like to thank Steve Alesio for his leadership and guidance over our eight years of working together. We’ve had a wonderful partnership over this period and in many ways I am just continuing the customer journey that he embarked on five years ago. Steve has been an important mentor and advisor to me as we developed the 2010 plan as have our Board of Directors who have provided invaluable advice, support and guidance as I assume my new role. Finally, I would like to take a moment to thank our team members for the tenacity they displayed in 2009 despite the extraordinary economic environment. You are an impressive team of leaders and I appreciate your commitment to D&B. As we move forward with our 2010 plans I am confident that we have a highly engaged and accountable team who will deliver on our commitments as we have in the past. For our investors, we have decided to hold investor day in New York City in the spring. This will give you an opportunity to meet the D&B leadership team, get a progress report on the business and hear in more granular detail the exciting future for D&B data, products, and solutions. We will discuss our data and technology transformation so you can better understand where we are taking your company over the next few years. That concludes our prepared remarks. Let me open the call for any questions you may have.
Operator: (Operator Instructions) Your first question comes from Michael Meltz – JP Morgan
Michael Meltz – JP Morgan: Regarding the technology investment I understand the reasons why and we can debate the accounting treatment and I’m sure some folks will. Can you talk about in 2012 I understand what you’re saying about margins but conceptually are you saying all else equal that you’ll have $35 to $50 million of incremental EBIT, costs savings that will show up that year as well as the spending on the P&L in 2011 which is $40 to $45 million will go away? All else equal, EBIT should go up 2012 on a reported basis to over $75 million is that how I should think about it?
Sara Mathew: Here’s how you should think about it. In 2012 you’ll get about 100 basis points of margin improvement so it isn’t the entire amount because we will have the depreciation and amortization from the original investment and we’ll have our ongoing investments in the business to continue to drive growth. The way you want to think about it is at least 100 basis points of margin improvement. $35 to $50 million is the absolute savings coming out of this investment, that portion is correct, for the $110 to $130 million.
Michael Meltz – JP Morgan: I was thinking about on a cash basis then. You’re saying we’ll get the cost savings but you’ll be reinvesting some of it.
Sara Mathew: Yes we will. We should be reinvesting back for future growth and we felt it was most appropriate to give you the net benefit.
Michael Meltz – JP Morgan: Does this signal that you’re reengineering programs have run their course since this is a separate reengineering program I would consider it?
Sara Mathew: I wouldn’t say our reengineering programs have run their course. Fundamentally we look at all our expenses every year and we will continue to take out the normal amount of reengineering and you can expect that to continue. In terms of this investment we gave it a great deal of thought, we just wondered whether we could actually put it into existing reengineering and we decided we should move quickly. Rather than wait and this investment would have just taken longer time if we put it through the normal reengineering, we felt that we should go ahead and invest now and then continue to protect the base business. The ongoing reengineering will go back into the base business to stay invested while we get this new technology up and on board.
Michael Meltz – JP Morgan: In 2011 should we expect a separate reengineering program?
Sara Mathew: Yes, and that is ongoing, that is part of our strategy and there will be 2011 reengineering as we have announced in 2010 reengineering will continue, that is correct.
Michael Meltz – JP Morgan: Concurrent with this program, why aren’t you being more aggressive with share repurchase? You’re saying you’ll buy up $250 million which is flat with ’09 but I would think that to support your stock and given your balance sheet you should be much more aggressive here.
Sara Mathew: Let me give you our principals for the use of excess cash, you have heard this before so bear with me. Number one we want to make sure that we make investments to drive the business to improve our organic growth trajectory. I firmly believe that is the best investment we can make for our investors. That’s the $110 to 130 million. Then we look at acquisitions then we return all excess cash to shareholders in the form of dividends and share repurchase. Right now the principal we are using is we want to be prudent in terms of debt levels, we want to retain access to capital markets, and we want to retain what I would call a conservative position on the balance sheet. We think at this point in time $150 million is sufficient, that is correct.
Michael Meltz – JP Morgan: International margins in 2010 what should we expect there?
Tasos Konidaris: We should expect international margins to continue to improve. My expectation will be the improvement will be in excess of 100 basis points as we continue to have very strong organic levels of growth and our operating expenses are well under control.
Operator: Your next question comes from Dan Leben – Robert W. Baird
Dan Leben – Robert W. Baird: Looking at the technology investment, when you were looking at the opportunities for future growth, what are you missing out on today, are there certain types of engagements or things that clients want to do. What are they doing instead, are they doing things in-house, are they doing nothing, are they going to competitors? Help us understand what this is addressing in terms of opportunities.
Sara Mathew: Let me just frame this investment decision for you so you better understand it. I know there was a lot for you to consume just in the course of this call. Stepping back, 2009 was a year of learning for us. The economy was weak and it had us working much closer with customers. What became apparent to us is their needs are evolving very rapidly. From their perspective they continue to see D&B as the most comprehensive source of commercial information but they want more. Their expectations are being shaped by advances in technology and they want to become far more efficient in this new economy. What we want to do is to take commercial insight and make it much, much better for them. Let me give you context for what we’re going to change. Our current data processing platform was built to handle much lower levels of data and a much slower pace of change of this data. Think about it, about seven or eight years ago we had a database of 50 million records. We are at 150 million today. You’re talking about a tripling in nine years. Previous to that the tripling took probably 27 years. The tripling is probably going to take another two to three years. While we have caught up with all of the increases in data, we see a trend that is going to accelerate even faster in the years ahead and we want to get in front of this now. We also believe that technology advances make it critical that we can do this at a very low cost and efficient way right now. What we’re going to do is we’re going to leverage what we already have, these are core capabilities. The Duns number is the best business identifier in the work we’re going to keep that. We have a world class matching engine; we’re going to keep that. We have existing data relationships, just as context, we process about 20,000 data sources per year. We now will be able to actually handle maybe 10 times that amount if we needed to. Then we have our ongoing trade program with over 7,000 trade providers. Our plan is essentially one to consolidate our legacy database as these are built up over the year through the course of acquisitions and products that we have created for our customers. Create a common service layer so the ability to access this data by customers becomes very, very simple and at the same time we can aggregate some data, make some calculations so customers can get it instantly and in any form; as a text alert, through mobile solutions, things that today we just cannot do. What we will do is take our flagship plans like D&BI and connect it to this new data supply chain. I can give you one example that I was personally involved in, in 2009 and maybe that will help bring this to light, if that’s helpful. You want me to go through that?
Dan Leben – Robert W. Baird: Yes, I’m just trying to understand what the feedback from customers are? Is it basically you guys are good but we need better?
Sara Mathew: Let me give you this example. We had a large telecom customer who wanted us to implement a hosted data integration solution. For the purpose of this integrated solution was to allow them to allocate resources, their sales resources more effectively across the US. Here’s the way they operate today. They have their own unique internal identifier; this is unique to their company, to keep track of their customers. They know that this identifier has duplicates, incorrect information, and it doesn’t accurately portray their customer base. They were never able to essentially allocate their sales resources efficiently. They wanted basically a 360 view of the customer base. You’ve heard about this, we provide this data to many customers. The difference is they want this real time in the moment so if there’s an acquisition announced today they want to know it immediately so they can leverage and tweak their resources immediately. Fundamentally they want this to be on a real time basis. This implementation was multi-million dollars, there were several competitors in the fray and the customer chose D&B. They chose D&B because our data was much superior to competition. Even though we won the business, none of the competition including D&B was able to provide real time updates for the existing supply chain. Let me step out here and envision a future after we implement these new capabilities. Our data supply chain will be real time so our customer will have continuously updated records. They won’t need to spend any energy loading data updates on a batch basis and if they choose to add third party data, say after we’ve implemented the project we should be able to do it very, very easily. The benefit to D&B is we will get completely integrated into their workflow. Once we do that we know we will find new opportunities to help them even more. The customer will be able to focus on essentially their business and ensuring their resources are effectively deployed within whichever geography they are looking at. The important thing is this is what the new capabilities will enable us to do and it’ll be at a lower cost than we can do it today. That’s really an example of how this will play out for our customers. Does that help?
Dan Leben – Robert W. Baird: Thinking about in the current environment where nobody can do it in real time and basically its you guys have the best data so you win the deal. Is there a huge opportunity to increase pricing on deals like that in the future when you got the real time data and you’re offering a vastly superior product?
Sara Mathew: Certainly there are all sorts of opportunities. There are opportunities because how much is this worth and obviously this is more value. As we do with all of our deals, we try to measure value in terms of what we’re providing to the customer. If they did not have to have all of these batch updates they would not need a group of about five people who spend most of their time just handing this kind of data. Clearly there would be pricing advantage as well.
Dan Leben – Robert W. Baird: Help us understand in the guidance for international for the mid-teens growth, how much of that is organic versus acquisitions already done and are there any additional acquisitions in there?
Tasos Konidaris: The vast majority of that mid-teens growth rate is really organic growth. I would say two thirds of that organic, a third is inorganic and that relates to the acquisitions we did late last year and that was the ICC in the UK and Roadway out in China.
Dan Leben – Robert W. Baird: Both Equifax and Experian on admittedly much smaller basis than their commercial service business had very strong fourth quarters, a little bit of a disconnect from you guys. Is that just simply competitors weighing some deals at the lower end or what are you seeing out there in the market in terms of just general trends?
Sara Mathew: We watch all of our competitive losses closely. On the margin there were a few losses to competition, mostly when they price 50% below where we are for the same data. What we tend to do is if it’s that far below we would actually let the business go. We will come back the following year and often times we win back the business because the customer has a chance to actually look at the difference and then decide how much money is this worth to them. On balance I would say there was no unusual level of competitive losses this year then we’ve seen in any prior year. Again, the market is huge, a vast majority of our customers often use both D&B and Equifax you should know that as well, especially on the higher end like FI’s and larger companies because the cost is not that much relative to the decisions they are trying to make.
Operator: Your next question comes from Shlomo Rosenbaum – Stifel Nicolaus
Shlomo Rosenbaum – Stifel Nicolaus: I’m also going to focus on the technology investment. How much of this investment would you characterize as basically an underinvestment that you guys have to catch up on?
Sara Mathew: Actually this is not an underinvestment. I do understand why you would look at it that way. We’ve actually been very heavily invested in the business and we continue to expect to keep up that investment. What we realize is that the infrastructure is causing that investment to be inefficient. What we’re trying to do is really fix that systemically. For the period of time between 2010 and 2012 we’re going to keep both going. If anything, I hope that helps you understand how important it is to just keep the business moving forward, continue to protect the base as we bring this new business online. When we talk about financial flexibility and the vast majority going back into the business, that has been the case for the last several years. I would not characterize this as underinvestment.
Shlomo Rosenbaum – Stifel Nicolaus: In the 2Q09 10-Q the company extended its useful life of software in the back office from three to five years to five to eight year. Is there anything changing with that, that seems like at that point in time you guys were extending the life of the investments that have been made and at this point in time you look like you’re really deciding that you need to change the whole infrastructure.
Tasos Konidaris: That was really focused on our financial systems. Over the last two years we’ve spent a significant amount of money to upgrade our software, our financial systems here in North America and in international. This was specific to life expectancy of our financial systems and what we’re tackling with this technology investment is really our technology infrastructure supporting data.
Shlomo Rosenbaum – Stifel Nicolaus: The fact that there’s such a large investment at this point in time it still makes you wonder whether at this point in time how did this come up. I understand that you decided to look at it because of the 2009 study. I’m still wondering if there’s something that’s gone on and as you look at it is there going to be a change in methodology and the way that you approach your technology investments in the future beyond what you’re doing right now?
Sara Mathew: I think there were two questions in there and let me try and handle both of them. It wasn’t just 2009. In my prepared remarks I referenced what we did in international. In some ways we’re just completing the international investment which was about $35 million over three years, clearly much smaller because it is international and it is not as wide as the US. We got a lot of learning out of international and what having real time data can do for our value proposition to customers. You’ve noticed our organic trends in international are very strong. Quite frankly, while a lot of other competitors are struggling in places like Europe, our basis for differentiation, especially with cross border customer is really playing out very well in the marketplace. We had one proof point with the benefits we saw from the international acquisition and we also saw a reduction in costs. We were able to get that behind us and so that gave us a certain level of confidence. You had a second question if I recall, could you repeat that for me?
Shlomo Rosenbaum – Stifel Nicolaus: Is there going to be a difference in approach to your technology investments after you’re finished with this and can you just describe that a little bit, are the savings going to be that much different? Are there any high level thoughts on the approach being different?
Sara Mathew: One of the things you may be thinking about is this going to be $100 million investment every three to five years? The answer is definitely not. Just for perspective, what we are working on, pieces of our data supply chain and some of our legacy products and services where the software is about 15 years old. We actually get a pretty good life from our existing product software and supply chain and what we’re doing is we’re actually doing a major upgrade primarily because technology has changed dramatically. There is an opportunity to get far more efficient. If it were not for the very, very high cost savings that we get from this I think we would see this differently. We see this as a unique opportunity to reframe the value proposition further distance ourselves from competition and at the same time get more efficient. I don’t think we often find investments like that. In fact, I would say personally this is one of the best investments I’ve seen in a pretty long time and I’ve been here for eight years.
Shlomo Rosenbaum – Stifel Nicolaus: As you’re consolidating some of the legacy products, how do you expect that to impact the revenue for 2010 within your guidance and then as I think out to 2011 should we think that the revenue might be kind of flattish as some of the products get consolidated and then you talk about growth off of that kind of base in 2012?
Sara Mathew: Let me start by just giving you a sense for how revenue will progress. We’ve given you guidance for 2010 and you would have noticed it was slightly better than 2009, not a whole lot but slightly better. We’re essentially dealing with the overhang of 2009 into 2010. We should exit 2010 in a much better trajectory. 2011 we believe should be better than 2010 and then you should see the full benefit of this investment in 2012. Is that giving you a sense for how the trajectory should work in North America?
Shlomo Rosenbaum – Stifel Nicolaus: Yes, but in terms of the consolidating products?
Sara Mathew: Sure, let me go to the consolidation of products. When we rebuild our data supply chain and the related products and infrastructure we will be offering customers who are on our legacy products a significantly better value proposition. Our plan is actually to use that opportunity to target a wider set of needs as opposed to consolidating and eliminating revenues which is what you would describe as shutting down product lines. Customers actually like what we do, we’re going to take what they have and make it even better, and that’s really the intention of this project. Does that make sense?
Shlomo Rosenbaum – Stifel Nicolaus: Yes, thank you very much.
Operator: No further questions from the phone lines at this time.
Sara Mathew: To all the participants in todays call thank you again for joining us this morning. If you have any further question please feel free to give Kathy Guinnessey a call, I’m sure you have her number. Thank you and good bye for now.
Operator: Thank you for participating in today’s call. Have a great day.